Operator: Greetings, and welcome to the Nordstrom Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will begin with prepared remarks, followed by a question-and-answer session. As a reminder, this conference is being recorded. At this time, I'll turn the call over to Mr. Blake Nordstrom. Please go ahead.
Blake W. Nordstrom - Co-President & Director: I think I'd like to have Trina Schurman start, if that's all right.
Trina Schurman - Director-Investor Relations: Good afternoon and thank you for joining us. Today's earnings call will last 45 minutes and will include 30 minutes for your questions. Before we begin, I want to mention that our speakers will be referring to slides, which can be viewed by going to nordstrom.com in the Investor Relations section. Today's discussion may include forward-looking statements, so please refer to the slide showing our Safe Harbor language. Participating in today's call are Blake Nordstrom, Co-President; and Mike Koppel, Chief Financial Officer, who will discuss the company's fourth quarter and 2015 performance and the outlook for fiscal year 2016. Joining during the Q&A session will be Pete Nordstrom; and Erik Nordstrom, Co-Presidents; and Jamie Nordstrom, President of Stores. With that, I'll turn the call over to Blake.
Blake W. Nordstrom - Co-President & Director: Thank you, and good afternoon, everyone. We're encouraged that even through this current retail environment, we continue to gain market share. We added roughly $1 billion to our top line, delivering total sales growth of 8%. For the fourth quarter, we had a 1% comp increase, as we anticipated, which was consistent with our third quarter's increase of 0.9%. As we look ahead to 2016, we have always considered 2015 to be a peak investment year. That hasn't changed. What has changed is the current environment that we are facing which requires us to pivot even more as we remain focused on improving profitability. In response, we are making adjustments to reduce expense and capital spending in 2016 and in the coming years. For 2015, total sales in our full-price business, inclusive of Canada and Trunk Club, increased 5%. In off-price, inclusive of Rack stores and nordstromrack.com and HauteLook, sales increased 14%. From a merchandising perspective, we're always pursuing newness in fashion to increase our relevance with customers. For example, we continued our success with brands like Topshop, Madewell, Brandy Melville and Charlotte Tilbury. These brand partnerships have contributed to the strength of our contemporary department and attracted new customers to Nordstrom. Additionally, we had continued momentum in Beauty, which has been among our top performing categories for the fourth straight year. Going forward, it is even more important for us to remain focused on the customer as our business continues to evolve. We've made significant investments to enable customers to shop seamlessly across stores and online as well as to grow our business through new markets. With over $3 billion invested in capital over the last five years, we grew our top line by 50%, which was nearly $5 billion. We're also mindful of the importance for these investments to flow through to the bottom line. While we're on track with our $20 billion sales ambition by 2020, our efforts to serve customers in multiple channels are having an impact to our business model. In response to changes in our business and current conditions, we've started to implement a number of opportunities to improve profitability. From a CapEx perspective, we reduced our plan by $300 million over the next five years. From an earnings perspective, our expenses have grown faster than sales to support our multichannel growth. We are taking action to moderate our expense growth over the next several years. Specific to 2016, we have planned expense savings of $100 million relative to our plans a year ago. This equates to a reduction of $50 million relative to 2015. We are actively pursuing additional opportunities to improve profitability this year and in the years to come. We view this as fluid and iterative process as we stay focused on the customer and proactively ensure resources are aligned with customer expectations. I'll now turn it over to Mike, who will provide more details on these changes with respect to our financial outlook.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Blake. First, I'd like to comment on our current results. We finished the year with our results in line with our expectations. Clearly this was a difficult period with industry sales declines and increased promotional activity resulting in compressed merchandise margins. As stated last quarter, we responded quickly and decisively to these trends with respect to inventory levels. While we believe our inventory is current, we continue to monitor trends and make the appropriate adjustments to assure we remain price competitive and have the best product available for our customers. On the expense side, overall operations were well-managed, resulting in an improved SG&A rate for the fourth quarter relative to our expectations. Now, I'd like to provide perspective on how we see our business evolving given current business conditions, our investment cycle and commitment to delivering top quartile shareholder returns. In evolving with our customers, we made significant investments to enable customers to shop in multiple ways. This has resulted in market share gains, but also structural changes to our operating costs. For example, e-commerce now represents over 20% of our sales, a notable increase from 8% five years ago. This business model has a high variable cost structure driven by fulfillment and marketing costs in addition to ongoing technology investments. With our increased investments to gain market share along with the changing business model, expenses in recent years have grown faster than sales. As Blake mentioned, we are pursuing the following opportunities with focused efforts on increasing efficiency and lowering costs. In technology, we are planning productivity improvements by focusing on fewer, more meaningful projects, such as a scalable merchandising solution that supports seamless integration across multiple channels. In addition, we are accelerating our efforts to re-platform our architecture to streamline development while reducing costs. In fulfillment, we are assessing ways to improve efficiencies around delivering product to customers which is expected to generate lower shipping costs. We are also refining our online assortments with a focus on unit profitability. In marketing, we are focusing on improving our effectiveness across all channels. Consistent with our fulfillment efforts, we are measuring enterprise profitability of our total marketing spend. These and other initiatives are multi-year in nature. While we have successfully gained market share, we are also committed to growing profitability. With our investments moderating, we view 2016 as an inflection point of earnings growth improvement. We are focused on reshaping our business model and continuing that effort over the next several years to achieve our previously stated goal of mid-teens return on invested capital. As part of our regular communications, we'll keep you posted on our progress. Moving to our capital investments, our five-year CapEx plan of $4 billion or 5% of sales represents a $300 million reduction in store investments relative to last year's plan. In 2016, we expect CapEx to be roughly $900 million, with one-third allocated to Canada and Manhattan. Technology and fulfillment, which represents another third is planned flat to last year, a considerable reduction from a 35% annualized growth over the last five years. Our investments in HauteLook, Canada and Trunk Club are beginning to pay off with over $400 million added to our top line growth in 2015. The dilutive impact of these growth initiatives has peaked in 2015, with expected EBIT improvement beginning in 2016. In addition, our loyalty program is an enabler of growth to help increase our engagement with customers and attract new customers. With Rewards members representing 40% of our sales volume, we look forward to expanding our program with a tender-neutral offer in the second quarter. Finally, I'd like to turn to our 2016 financial outlook. Our plan for earnings per diluted share of $3.10 to $3.35 assumes total sales growth of 3.5% to 5.5% and comps of flat to a 2% increase. Based on current trends, we remain cautious and have considered the impact of a continued promotional environment. In the first half of the year, EPS is planned to decrease by roughly 30% due to the following: the impact of the sale of credit receivables; the impact of growth initiatives, including our third fulfillment center, which opened last August and new store preopening costs; and the shift of our Anniversary event, which will span the second quarter and third quarters in 2016. In terms of our Credit business, while we expect an initial reduction in EBIT from our revenue-sharing program with TD, we anticipate meaningful opportunities to increase earnings over time. Excluding the impact of the Credit business, we expect improvement in retail EBIT growth driven by the maturing of our growth investments and the operational improvements previously mentioned. In closing, we continue to believe that we have the right strategies in place to profitably grow our business and successfully serve our current and future customers the Nordstrom way. With that, I'll turn the call over to Trina.
Trina Schurman - Director-Investor Relations: Thank you, Mike. Before we get started with Q&A, we'd like to ask that you limit to one question. If you have additional questions, please return to the queue. We will now move to the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. Our first question is from Matthew Boss of JPMorgan. Please go ahead.
Matthew Robert Boss - JPMorgan Securities LLC: Hey. Good afternoon, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Hey, Matt.
Matthew Robert Boss - JPMorgan Securities LLC: So on inventory, any areas of concern versus your plan coming out of the quarter? And can you elaborate on some of the actions that you talked about to remain price competitive? Just really help us to think about gross margin in 2016 versus the 92 basis points of contraction we saw this year?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Matt. This is Mike. I'll take the first part of the question as it relates to where we are relative to plan. We actually transitioned out of the fourth quarter under our original plan inventories. And a matter of fact, the change from plan to actual at the end was consistent with the drop in sales relative to plan. So we felt like we would – responded inappropriately to keep those inventories in line. Now clearly, it still is a little tenuous out there and we're keeping a very close eye on it, but the aging is in a good place and the levels relative to the investments we're making in our growth initiatives are in the right place as well. In terms of pricing, I'll let Pete take that.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, I guess what I'd say that for us, the promotional and clearance activity drive some sales but not enough to make up for the reduced AUR, so that's where we had a lot of compression, and then also what it does to our margins. So it's not a good situation for us. I mean, there may be other retailers that really benefit from a lot of promotional activity that drive sales in disproportionate ways. So we spend a lot of time trying to be transparent and collaborating with vendors, talking about our desire to have newness really be the component that drives our sales and not the promotional activity. I think we work to identify vendors that operate cleaner businesses. It's a difficult balancing act because you want to make sure that you're bringing things that customers want too. I mean, have things just uniquely or exclusive for exclusive's sake. That doesn't work either. There are some areas that help mitigate some of the pressure. For example, our own label product, what we call Nordstrom Product Group, it's a growing part of our business. We had a really good year with Nordstrom Product Group and I think that's a way we control our own destiny a little bit more as we go forward. And then I guess lastly, what I would say is, ultimately, our ability to keep our inventories in line with the sales trends is going to be the biggest factor in terms of managing markdowns. And while we've missed sales plans a little bit in the last couple of months, we're in pretty decent shape and we're going to be disciplined this year about keeping those inventories down.
Operator: Thank you. Our next question is from Oliver Chen of Cowen and Company. Please go ahead
Oliver Chen - Cowen and Comapny: Hi. Thank you. I had a question about your earlier comment regarding profitability and fluidity. I was just curious about what you meant in terms of contextualizing, what's your meaning there? And if that's a little bit different from prior thoughts on managing that balance? And on the promotional front, could you just inform us by banner in terms of merchandise margin prospects as you think about Rack, versus full-line, versus online and how the merchandise margins may look this year? You've kind of been a leader in trying to rationalize the promotional environment. So are there any distinctions we should know about on a year-over-year basis in terms of the sales that you'll be running versus last year? Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay, Oliver, first, this is Mike. I just want to clarify your question on profitability versus fluidity. Were you referring to inventory?
Oliver Chen - Cowen and Comapny: Just the context of earlier comments on that and I think it's a bigger picture question in terms of how the customer could be changing. But it's related to inventory, as well, potentially.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay. Well, I think maybe Pete could talk a little bit about the promotional, what we're doing from a promotional standpoint then.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, I think the rhythm of the business is the same in that there's a cycle to regular price selling that we pretty much are in lockstep with the industry based on those rhythm. When business is bad, it accelerates that clearance part of it, but the part that we're talking about is promotional activity, where a retailer will take everything that they have to offer, something that's a week old in the inventory and something that's eight weeks old in the inventory and mark everything down. And that's what really erodes the margins. For us, we don't generate any of those events ourselves, but we have to be competitive for price. So if it's a price that's available for the customer and for all customers, to maintain integrity and trust and confidence of our customers, we're going to match that price. So that's what puts the pressure on us in terms of our promotional activity. We don't have any more promotional activity in terms of clearance days or events, no more plan than ever, actually, I think we're probably tightening that up even a little bit from this last year. So I'm not sure if that answered your question, but philosophically not much has changed in terms of what we've been doing for the last several years.
Oliver Chen - Cowen and Comapny: Yes, that helps. I think it has to do with the dynamicism in terms of the competitive landscape and matching. And were there any clues in terms of the merch margins going forward by banner? Did you feel like certain banners had more opportunities for improvement than others?
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, it definitely is a matching thing, to your point, certain banners, how that changes. You're talking relative to the Rack business versus the full-price business?
Oliver Chen - Cowen and Comapny: Yes, yes.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: I don't think there's anything fundamentally different than what we've been dealing with really for years. We've been able to improve our margins mostly through increasing turn, leveraging inventory across multiple channels, just being as efficient as we can, that, again, ultimately over the long haul our ability to keep inventories in line is what's going to make the biggest impact on margin.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Oliver, we have historically and really up until the more recent softness in the customer cycle, have always had high and increasing regular price business. And when you go through these soft cycles, when the industry has too much inventory, and there's competitive pricing, that's where we're feeling the biggest pinch, and so, keep being very rigorous about controlling those inventories and about ensuring that we come out of this as we have come out of this before in a good place, we'll assure that future profits will be better.
Oliver Chen - Cowen and Comapny: Thank you very much. Best regards.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Thanks.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Thank you.
Operator: Thank you. The next question is from Neely Tamminga of Piper Jaffray. Please go ahead
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Good afternoon. So on the current trends commentary; this is for Mike and Pete. Could you give us a little bit more as it relates to that? I mean I guess what we're seeing in stores seems to be a paucity of newness, particularly in designer and resort. So is there a product execution error do you think going on a little bit in terms of just lacking some of that newness, not having quite that risk going up the risk curve? Or is there something else you think related to the consumer related to that Rack versus full-line with any sort of insights you have between those two banners so far this year would be helpful. Thanks.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, I'm not sure I exactly understand the question. Can you just restate that for me because I didn't catch the beginning of what you were asking there?
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): So, really about current trends, is it ultimately – is it really consumer led or is it about product missed opportunities? From our own store checks, so we feel like you're lacking maybe a little bit in designer as well as in resort, it just feels like it was a little bit weaker this year versus last year. And I guess what we're trying to figure out is, is this something that can pick up as product newness actually evolves at full-line or is there a consumer issue? And could you comment a little bit more on that issue related to Rack versus full-line type trends? Thanks.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Well, the product issue is, and actually we were just discussing that as we were flying back from New York Fashion Week today. It's one of the nice things about our industry. There's always this internal optimism about new things coming out there and people excited to get it in front of customers. And there's evidence all through our business of pockets where business is really good because there's new things that have come in and done well. I mean your comment about designer being off, that's actually not true for us. I mean, our designer shoe and handbag business has been pretty good even through some fairly challenging times. Apparel has had a little bit of pressure but it's just there's – I think there's a lot of things for us to be excited about and that translates I think to excitement for customers. So I think that's an excuse you won't find us using. It's a continuous matter of us trying to keep the focus on new product flowing in here. It is going to ebb and flow a little bit but as long as we can keep our inventories in line, I don't think it's going to be a big problem. The Rack on the other hand, they benefit in a lot of ways from some tough business out there because it means there's an excess of potentially really good product that we could get at great prices and because we've got these great relationships with vendors. We can pass the savings along to customers. So I think that the difficult part is when you take – when retailers or vendors take a price promotion on everything that they sell, they lessen the desirability of a product because why pay full price for it. And I think that's kind of the insidious part of what happens here and maybe it doesn't lead to good long-term decisions for a health of a brand or even a trend. So that's something that we can't entirely control but obviously we talk to the vendors a lot about and I think one of the advantages that Nordstrom has people recognize out there, vendors recognize out there that we do run a good full-price business. It does motivate our customers and I think ultimately they like doing business with us because of that.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you. Thank you, Neely.
Operator: Thank you. The next question is from Lorraine Hutchinson of Bank of America Merrill Lynch. Please go ahead.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you. Good afternoon. I was just hoping to...
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Hi, Lorraine.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Hi. I was just hoping to get a little more information on the cost cuts. I believe you said $50 million incremental for 2016. What were you able to do so quickly? And then where do you see the opportunity for maybe the rest of this year but also for 2017 and 2018 in terms of trimming operating expenses?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Lorraine, yes. This is Mike. In terms of that, I think that winds up very well to the three areas that we discussed in the overall approach to the changes in our business model and that's in the areas of technology, supply chain and marketing. And I'm not going to get into a lot of detail there, but suffice it to say, over the last several years, we've clearly been investing aggressively to grow our business. We've grown our business successfully. It's a new channel that is being built out that is still in the relatively early stages of its process and I think we've reached an inflection point where after growing it to the level we have that we're spending a little bit more time focused on then how to turn a lot of that growth into some more profit. And I would say that that is the common theme that you're going to hear from us as we talk about reductions without getting into anything overly specific. But clearly, we're seeing a, what has been a very noticeable change in our business model. I think one of our slides indicated by the end of this decade that we're going to have a large proportion of our business about 30% being done online. That's all the way from 5% that it was back in 2005 and that is a model that behaves enormously different than the mall-based model. And so we have a lot to learn about that and we have to keep our lens on as it relates to how the customer sees us and how the customer wants to be served, but at the same time, we have to do it effectively. And so that would be the theme and that will be the theme that we'll be sharing with you as we go forward.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Joan Payson of Barclays. Please go ahead.
Joan Payson - Barclays Capital, Inc.: Hi. Good afternoon, everyone. Could you talk a little bit about the Nordstrom Rack stores? Comps have been negative now through most of the year. Maybe talk a little bit about what you think that reflects, whether it's online cannibalization or competitive pressures, and does it create any concern around the target for 300 stores longer-term?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Blake, you want to take that, please?
Blake W. Nordstrom - Co-President & Director: Sure. Joan, this is Blake. The Rack brick-and-mortar part of the comp improved as the quarter – the fourth quarter went on and the year went on, but no question, the first half – or the first three quarters of the year they were obviously running below our plans. And we shared with you both the full-price and off-price multi-channel numbers, and that's something we've been talking about at least from a full-price point of view for a couple of years because most importantly, that's how the customer views the business and that's how the customer shops. So we're trying to be clear about what that store business is and what the online off-price business is as well, but we really look at it as an off-price multi-channel business. And so for the year in the multi-channel, I mentioned that was up 14%. From a comp point of view, that's 4.3% for the quarter. Multi-channel off-price was up 12%, and comp was up 3.6%. So when we look at it in that regard, we're definitely gaining market share from our competitors. The new Rack growth, which was the second part of your question, continues to be highly productive stores with terrific returns for our shareholders' investment, and so we feel good about at this juncture that 300 store commitment roughly that we've talked about by the year 2020. Those lead times are short, so we can react to that quickly. We have 24 stores I believe slated to open in 2016, and again, we feel good about the off-price part of our business and the full-price part of it, and so we think there's a good balance between the full-price and off-price and we're continuing with that Rack growth.
Joan Payson - Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. The next question is from Ed Yruma of KeyBanc Capital Markets. Please go ahead.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hi. Good afternoon and thanks for taking my question.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure, Ed.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: The decision to moderate the increases in tech spending, do you think that it will over time reduce the level of growth in the online business, or are you able to kind of drive, in your opinion at this stage, similar growth by making more targeted investments? And I guess the follow-up to that is how would you kind of ascertain the return on some of these stepped-up investments over the past couple of years? Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Ed, this is Mike. In terms of moderate the investment, I would just give you a little context that over the last five years, that investment pool has grown at an average of 35% a year, and it's up to about $260 million, $270 million in terms of capital investment. So we've made a really, really big commitment there. And I think part of what we've learned along that journey is that we could likely be more productive with that capital. And we highlighted a couple things that we believe long-term are going to generate a lot of value. One is having a scalable inventory management tool that can support us well past $20 billion and can support multi-channel. And the second is to re-architect how we think about our technology so as we want to add new features and new applications, we can do it very efficiently and cost-effectively. And we think over the long run, that's going to have big payback. In terms of the returns of the past, we've had some projects that have delivered some great returns and some that haven't. That, by the way, is part of the business. It's a test and learn and iterate business. But that being said, as I think over the last several years, we've learned that we can likely do it better. And at this point, we don't feel that the moderation in investment is going to limit our growth in that channel.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Got it. Thanks so much.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Ed.
Operator: Thank you. The next question is from Kimberly Greenberger of Morgan Stanley. Please go ahead.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you so much. I wanted to ask about inventory. Mike, I think you indicated that the 12% increase in inventory at the end of the quarter was below your original plan. I'm wondering, is there an opportunity to further reduce the inventory growth in 2016? I think you've guided to sales growth of 3.5% to 5.5%, and is there any possibility you might be able to get the inventory growth down into the range of the sales growth? Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Well, the answer is, yes. We think we can continue to improve our inventory turns and make our inventory more efficient. At this point, getting it all the way down to the sales growth may be not practical because we still have a number of forward-looking investments that we need to make. We have store openings, we still have a pretty rapidly growing e-commerce business. And so you have to assure that you've got the right inventory levels to support that future growth. But that said, we do believe there's opportunities to be more efficient.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Thank you.
Operator: Thank you. The next question is from Dorothy Lakner with Topeka Capital Markets. Please go ahead.
Dorothy Senghas Lakner - Topeka Capital Markets: Thanks. Good afternoon, everyone. Just going back to the idea of newness in the stores, it seems like you have been bringing in a lot of new brands, particularly on the contemporary side and continue to do that. So I just wondered if you push that a little bit more in order to keep that uniqueness in the stores. Is that a way of getting around the overall promotional environment on bigger brands? And then, just if you could talk a little bit about the new national marketing campaign that you've just started also as a way of maybe driving traffic into the stores.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, this is Pete. You highlighted the balancing act that we need to try to figure out. And you can bring new brands in, that's great. That has its own risk. And brands don't grow to be really huge businesses overnight. It takes a bit of time to get it there. So we have some fairly big brands that have had some pretty sizable decreases over the last year. I mean the good news is, we've got some new brands coming up that we think can fill that void. I think one of the messages we were able to send to market this last week is, we have open to buy, even though business has been pretty difficult, because we're looking to replace some of these brands that are a little more troubled by some of that promotional activity. Their sales aren't as good. So good news is, I think we attract a lot of people into doing business with you. Maybe the best example of that is, you look at some brands that we have that other people don't, so, Madewell, for example. J.Crew brand, it's not available at other retailers. It's something they'd sell themselves, but they sell to us because they like the way we do business, they like our customer, and it's been really effective. And you get insulated from some of these issues because it's not available at a lot of the stores that are a little more promotional in nature. Topshop's been a version of that. Brandy Melville's a brand that's done really well for us. So there's good examples out there. And some of the stuff you talk about, some of the more leading-edge things around that contemporary business, we're proud of our team and their ability to kind of keep forging ahead. Though, ultimately, our ability to be successful going forward is not by repeating and refining last year, but to try to find new things out there to buy new things to do that will kind of stimulate customers' interest. And that's really our inspiration and our process going forward this year. And then you asked about the marketing campaign, and that was a little bit of a new deal that, a new campaign for spring that Olivia Kim helped create for us and it's interesting. It's cool. I think probably the best thing about it is, it reflects an optimism and kind of a cheerfulness which really should be what our business is about, particularly as you come into spring. When there's a lot of stuff going on out there that maybe isn't super cheerful and bright, but our job is to make shopping fun for customers and I think that's what that campaign really reflects. And so far, at least the anecdotal evidence is, customers really like that.
Dorothy Senghas Lakner - Topeka Capital Markets: Great. Thank you.
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Dorothy.
Operator: Thank you. The next question is from Jeff Stein of Northcoast Research. Please go ahead
Jeffrey Stein - Northcoast Research Partners LLC: Thanks, guys. Two quick questions. One for Mike on the share buyback. Are you still looking for the buyback in 2016 to be neutral to earnings versus the credit card transaction? And second question, can you help us out at all in terms of the value of the sales shift of the semiannual sale between Q2 and Q3, and why you're moving it? Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Yes, Jeff, in terms of the buyback, the volume of buyback that we completed in the fourth quarter approximately will have the impact next year of being neutral to the loss of the credit card revenue on an EPS basis. So that's done. That's complete. In terms of the sales shift, I don't have – do we have that number?
Trina Schurman - Director-Investor Relations: When we...
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: The calendar shift?
Trina Schurman - Director-Investor Relations: Yes. When we shift.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yes. Do we know the comp impact?
Trina Schurman - Director-Investor Relations: Yes, it's about 200 basis points to 300 basis points between quarters.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Okay. Thank you.
Jeffrey Stein - Northcoast Research Partners LLC: I'm sorry?
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: I would just add the Anniversary shift. Number one, Anniversary, really want to distinguish it from our other events. It's not – we used to do a (34:10) half-yearly sale. It's not a clearance sale. Anniversary is our biggest event. It's brand-new product that we bring in at savings and then market back up afterwards. And being our biggest event, the timing is really important. With the way that calendar works, about every five years to seven years, we need to bump it back as it starts to get too close to the Fourth of July holiday, and that's the case this year.
Jeffrey Stein - Northcoast Research Partners LLC: Okay. So I just want to make sure I understand. The earnings-per-share guidance you're giving of $3.10 to $3.35 assumes that credit and the share buyback offset each other.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: That's correct.
Jeffrey Stein - Northcoast Research Partners LLC: Okay. Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: Thank you. The next question is from Stephen Grambling of Goldman Sachs. Please go ahead.
Stephen Grambling - Goldman Sachs & Co.: Hey. Good afternoon.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Hi, Steve.
Stephen Grambling - Goldman Sachs & Co.: As a follow-up to some of the questions on the Rack, can you just talk a little bit more about the relationship between the full-line assortment and the Rack assortment more recently and whether that's changed? Perhaps more specifically, with the amount of full-line products in the Rack elevated and maybe even limit the open to buy there and are there any changes that you're thinking about to manage the two channels going forward?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Blake, do you want to take that?
Blake W. Nordstrom - Co-President & Director: Sure. With the growth of the new store account, though we've got some blips with full in-store transfer, it hasn't had any material impact at all within the Rack itself or individual store in terms of percent of goods from the full-line store or what we get in terms of close-outs from the vendors. So no change there at all.
Stephen Grambling - Goldman Sachs & Co.: Great. Thanks. That's it for me.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Steve.
Operator: Thank you. Our next question is from Paul Lejuez of Citi. Please go ahead.
Tracy Kogan - Citigroup Global Markets, Inc. (Broker): Thanks. It's Tracy Kogan filling in for Paul. I was wondering if you guys are seeing some deterioration in the Credit portfolio and maybe you could tell us what's behind the guidance of $70 million to $80 million of Credit EBIT you're expecting next year. It seems like even accounting for you guys only receiving about 50% of the former EBIT, that's a little low based on the run rate of about $200 million from last year. Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Yes, Tracy, this is Mike. In terms of the health of the Credit portfolio, it continues to be very strong. We're not seeing any deterioration in terms of the quality of the portfolio, the timeliness of payments, et cetera. You're very astute to pick up that number in the guidance because, in fact, we have said that the Credit EBIT would be roughly half of what it was. The difference is there is some purchase accounting-related adjustments that are in that number that primarily will only impact 2016. I believe it was in the range of $15 million to $17 million, but the actual credit card revenue that we would earn is right in line with what we had shared with you earlier.
Tracy Kogan - Citigroup Global Markets, Inc. (Broker): Okay. So it's some one-time charges bringing that number down for next year?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: That's correct.
Tracy Kogan - Citigroup Global Markets, Inc. (Broker): Great. Thanks a lot.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Paul Trussell of Deutsche Bank. Please go ahead.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Hey. Good afternoon. Mike, could you give a bit more color on EBIT guidance for 2016? You mentioned in the release that ex impairment charges, we should look for retail EBIT, I think, up or down 3%? And from your earlier comments, it sounds like gross margins will continue to be pressured while with some of your SG&A savings, that actually might be closer to flattish on a rate basis. Just want to see if that is directionally right. And then my follow-up, still on EBIT, is on the slide in your presentation that calls out the $110 million EBIT impact from strategic initiatives next year. If you can just break that out for us between Canada and Trunk Club and give us an update on how we expect those segments to ramp over time. Thanks.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Sure. Yes, Paul, in terms of how you've framed the EBIT next year, I think that's directionally accurate. We didn't give any specific guidance on SG&A but your comments are relatively close. In terms of the strategic investments, the $110 million, that's Canada, Trunk Club and HauteLook. That's the impact that those investments have had, a combination of operating profits or losses plus any purchase accounting adjustments. That's an improvement in 2016 from 2015 and we expect that continue to improve fairly measurably over the next couple of years. We haven't specifically called it out. We haven't broken them down individually for purposes of this, but directionally we expect to see improvement, and I think that aligns with my earlier comment that part of the improvement we are seeing is the maturing of some of these investments as they start to scale up and approach breakeven and then start to make some money.
Paul E. Trussell - Deutsche Bank Securities, Inc.: Thank you.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Michael Binetti of UBS. Please go ahead.
Michael Binetti - UBS Securities LLC: Hey, guys. Good afternoon.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Hi, Michael.
Michael Binetti - UBS Securities LLC: I'm trying to understand the significant inflection and the cadence of the EPS growth here front half, back half at high level, despite the first half being down 30%. I mean the second half it seems like EBITDA has to grow 15% to 20%. I'm having trouble figuring out how to get there on the margin guidance. Maybe you could talk us through a little bit, just at high-level how to think about comps to model first half versus second half on the gross margin that you guys see first half, second half? And, Mike, did I interpret your comments earlier thinking that SG&A is going to be fairly similar through the year?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Well, let me just take it on at a high level, Michael. The first thing which is pretty significant is the impact of the credit card sale. Recall last year we sold the business in October which means we were fully earning 100% of our credit card earnings through the first half of the year. Going into 2016 through the first half of the year we will be on the revenue sharing program so that's having an impact. The second thing is, and it's been a phenomenon over the last couple of years, is with the amount of stores that we've been opening, we have two new stores opening in Canada, we have a number of Rack stores opening, we have a fair amount of preopening that sits in the spring that we don't get a lot of sales benefit from and that it kicks into the back half of the year and so that's the other element. And then the third element we called out was the shift in the Anniversary sales. So those are the big three. You know in terms of specific margin guidance, I'm not going to get into that level of detail here on the call right now but I think if you look at those three large directional elements, hopefully that will help you.
Michael Binetti - UBS Securities LLC: Is there any way you'd be willing to bless the (41:34) first half you guys are baking in negative same-store sales and then the second half is when we see that improvement. If, as an assumption, just what we're seeing around the industry and your comments on the run rate today?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: As I said, we're not giving any specific guidance and I appreciate your persistence.
Michael Binetti - UBS Securities LLC: Well, I had to try. All right. Thanks, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: All right. Thanks, Michael.
Operator: Thank you. The next question is from Bob Drbul of Nomura. Please go ahead.
Bob S. Drbul - Nomura Securities International, Inc.: Hi. Good evening. I just have one question. On the expense opportunities in 2016, you talk about trying to improve efficiencies around fulfillment. Can you just elaborate on some of the initiatives that you are undertaking within lower shipping cost and fulfillment cost?
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Yes, Bob, I would say again a lot of these go back to how we need to continue to view the customer experience not just by channel but across the enterprise, and understanding how we can serve the customer on an enterprise level. And there's a number of things we can do. Currently today, we fulfill out of multiple locations and are there opportunities for us to get more efficient at that? That creates not only additional labor cost but it creates additional shipping cost because you're shipping multiple items per an order. We're also looking at how spread out we want our assortment to be, because the more lower-price items we have in it, the less unit profitability we gain. And so we're looking at a number of different things but I think it all goes back to the rapid acceleration of the business, and us continuing to feed that business and gain market share and now we're learning an awful lot about how that business is behaving and how we can make it more productive.
Bob S. Drbul - Nomura Securities International, Inc.: Great. Thanks, Mike.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Thank you. The next question is from Richard Jaffe of Stifel. Please go ahead.
Richard Jaffe - Stifel, Nicolaus & Co., Inc.: Thanks very much, guys, and I guess two quick questions. You mentioned private label or Nordstrom's own brand. Can you comment on the percent of total sales that represents today and how much bigger it could be? And then given the success of Beauty, do you have any initiatives in the Beauty category to take advantage of that great strength?
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Yes, this is Pete. Traditionally, we've run our Nordstrom Product Group to our own label to a fairly consistent percentage. As we've done more designer business in the last, oh gosh, 15 years or so, it came down a little bit because that's the place where we just don't participate, and also with Beauty, as you talk about, if those two areas are big growth vehicles for us. It's some place we don't participate with our own label product. But we do for example, which we haven't talked about yet, but the young customer segment of our business, what we call women's apparel, which has a large component of our own label in it and that's been growing well. It's a little over 10% of our business. It's not going to change dramatically from that. But I mean can we do some more? Yes, we can do some more and we've pretty much been doing it not as an entitlement program where NPGs can be a certain percentage of the business, but it has to grow because organically it belongs and customers have responded well to it. So the good news is, customers have responded well to it. We've got some good momentum in a lot of places. Like the kids brand like Tucker + Tate, with just in three years, I think it is. We're probably doing $50 million in there, so that is a big business for us. There's a lot of confidence and a lot of great results there to work towards. So, yes, we think we can grow it in modest ways in the next few years. Related to Beauty, that's a really interesting business and the thing that's probably best about it is, where most customers enter Nordstrom, the most amount of trips come through the Beauty business. It tends to attract newer, younger customers, as well, and so when that business is healthy it really helps the acquisition part of what we're doing. It helps the traffic in the stores. So I think what we continue to focus on there is making sure that we keep moving forward. And because we've been pretty successful in there, we do attract a lot of interesting opportunities. And I think one of the things that's particularly good about that business is the diversity where the success is coming from, because it's coming really at all different price points. The designer and luxury part of that business is really strong. A lot of the new things we've introduced are strong in different categories. We've got a good team there. So, I think you'll just see us continue to try to follow the customers' interest there and make sure that we're best in class in that classification.
Richard Jaffe - Stifel, Nicolaus & Co., Inc.: And if I could just ask one more. If you could comment on the environment, obviously, the environment is tough particularly for apparel retailers and wondering what your take on it is. What might be the cause of this?
Peter E. Nordstrom - Director, Executive VP & President-Merchandising: Gosh. That's a great question. I don't know. Some of the stuff is somewhat cyclical. But if we get into a position of trying to rationalize it based on external or macro factors that we can't control, then that's not a very good place for us to be. So what we really try to focus on are the things that we can control and that's delivering great service for customers, having a great relevant experience for them, both online and in stores, seamless integration, new products for them to buy, the excitement of what retailing can provide, And we talk about in terms of marketing, the hopefulness and the cheerfulness of what this is about. And I think if we can keep that front and center then we can continue to earn customers' business and gain market share. So that's the way we're looking at it.
Trina Schurman - Director-Investor Relations: And we'll take one more question.
Operator: Thank you. Our final question comes from Omar Saad of Evercore ISI. Please go ahead.
Omar Saad - Evercore ISI: Hi. Thanks. Good afternoon. One quick follow-up on the Nordstrom Rack business. If you look at the different store age groups, have you been able to glean anything from how the stores mature? They open really big at first and then kind of steady comps from there, or is there a pattern you can see across the Rack specifically and that store network? The maturation curve, if you will.
Blake W. Nordstrom - Co-President & Director: So, Omar, this is Blake. And we do have those facts and we've been doing this for a while, and it's been running pretty consistent in terms of our plans or projections for the first year and what it does then in year two, year three, year four and what that maturity curve is. And so, yes, that's helpful for us as we run the business and we haven't seen a lot of change there in that regard.
Omar Saad - Evercore ISI: Is that to say, they open at a pretty high level of productivity?
Blake W. Nordstrom - Co-President & Director: Yes. They come right out of the gate at a high productivity and they start contributing very quickly.
Omar Saad - Evercore ISI: That's helpful. Thanks, guys.
Michael G. Koppel - Chief Financial Officer & Executive Vice President: Thanks, Omar.
Trina Schurman - Director-Investor Relations: Again, thank you for joining today's call. A replay along with the slide presentation and prepared remarks will be available for one year on our website. Thank you for your interest in Nordstrom.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.